Operator: Greetings and welcome to the KORE Wireless Group Second Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to our host Charley Brady, Vice President Investor Relations. Thank you. You may begin. 
Charley Brady: Thank you operator. On today's call, we'll be referring to the second quarter 2022 earnings presentation that will be helpful to follow along with as well as the press release filed this afternoon that details the Company's second quarter 2022 results, both of which can be found on the Investor Relations page at ir.korewireless.com. Finally a recording of the call will be available on the Investors section of the Company's website later today. Please note, that this webcast includes forward-looking statements. Statements about the Company's beliefs and expectations containing words such as may, will, could, believe, expect, anticipate and similar expressions are forward-looking statements that are based on assumptions and beliefs as of today.  The company encourages you to review the Safe Harbor statements, risk factors and other disclaimers contained on this slide and today's press release, as well as in the company's filings with the Securities and Exchange Commission, which identify specific risk factors that may cause actual results or events to differ materially from those described in our forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after this webcast. The company also notes that it will be discussing non-GAAP financial information on this call. The company is providing that information as a supplement to information prepared in accordance with the accounting principles generally accepted in the United States or GAAP. You can find a reconciliation of these metrics to the company's reported GAAP results in the reconciliation tables provided in today’s earnings release and presentation. I'll now turn the call over to Romil Bahl, the Company's President and Chief Executive Officer. 
Romil Bahl: Thank you, Charley. Good afternoon everyone, and thank you for joining us today, for our second quarter 2022 earnings call. With me is Paul Holtz KORE's, Chief Financial Officer. The first objective of today's call, is to provide an overview of our financial results for the second quarter of 2022. I will start with a summary of our results and then Paul will take you through our performance in more detail. Second, we continue to help the market understand the significant long-term growth opportunity that KORE is positioned to capture, as the only public pure play IoT company. Every call since we listed on the NYSE, we have leveraged our earnings calls to help educate the market on our business. We started with a company overview last year, and I followed that initial call with overviews of our world-class IP and technology moat, and then last quarter's deep dive topic was our connected health vertical. This quarter we will discuss KORE's, fleet segment and the market trends driving our second largest industry practice. We will then hold a Q&A session, to round out the call. Let's move on to Slide 4, to look at our Q2 results. Second quarter revenue was $70.4 million, up 16% year-over-year. IoT solutions revenue was $25.7 million, up 47% year-over-year. DBNER for the second quarter was 114%, up from the second quarter of 2021. As a reminder, we have consistently communicated since going public over three quarters ago, that we expected a decline in quarterly revenue after the LTE transition project, at our largest customer ended. I am very proud that our team rallied, to stave off the sequential decline another quarter with the strong Q2 performance. But we fully expect a sequential decline in Q3 and H2 2022 will be down from H1 2022 organically, as has been embedded in our 2022 guidance since it was first provided. On Fed guidance, we are maintaining the communicated range despite an expected approximately $3 million revenue headwind from FX that was not previously embedded. As a result, we continue to expect to beat our two-year ago public revenue forecast for 2021 2022 by more than $50 million. With that, I will present a couple of slides to provide some business context on KORE and then we'll move on to a deep dive, of our fleet Industry segment. Slide 5, shows some IoT use cases on the left side of the page. These solutions are not particularly complicated to understand conceptually, but they are very complicated to implement especially when the connected devices are in motion, or are deployed across multiple technologies, multiple devices and multiple connectivity protocols, the latter of which is a given in any deployment over a large geographic area certainly across countries. The key message is simple. IoT is everywhere. Anything connected is an IoT use case and hence a potential customer scenario, for us at KORE. And use cases do not have to be sophisticated to require our services although, we certainly have that capability if needed. Today, KORE is helping to bring a very large and rapidly growing set of use cases to life, which is driving our significant market opportunity. But now on the right side of Slide 5, let's take a look at the key complicating factors that have kept IoT from meeting its hype, over the last decade. Starting with cybersecurity as the foundational issue, and working our way around the significant challenges of IoT solution deployment in the corporate world. In particular, a lack of expertise and the ability to handle and leverage the massive amount of data coming off thousands and often tens of thousands of devices in many use cases. Standard IT experience, even digital transformation experience is not enough to effectively deliver IoT. Given the complexity stemming from the use of different types of devices and networks across different countries, the regulatory and compliance issues driving almost every industry and one of the most fragmented ecosystems in the tech world, you have the issues that set up KORE strategy. This is what the KORE one-stop shop is all about, simplifying these complexities and making it easy for our customers to deploy IoT solutions. Slide six then is a simplified view of our growth strategy. What we do is, help customers deploy, manage and scale solutions. Based on the experience of working with over 10,000 use cases over the last 20-plus years, we can help our customers not just successfully deploy their solutions, but with our IoT managed services, manage those deployments seamlessly, which in turn enables our customers to scale confidently and securely. How we do this is with a combination of IoT connectivity solutions and analytics services, which is growing in scope and maturity with every year of our transformation. With our global connectivity services, we can help enable almost any use case in any industry. And as we have matured our IoT managed services, we have increasingly focused on going to market by industry, where we become more of a trusted adviser with industry expertise. We have organized our company to build and take to market these world-class IP-driven IoT services and slide seven illustrates the KORE organizational model at a contextual level. We build our capabilities to support the major steps in the deployment of an IoT solution. And while we are not at this point in time building a consulting organization to focus on the front end of a customer's IoT journey, we have been building the industry's leading IoT connectivity offering for over 20 years. And in addition to our connectivity offerings, we have added a comprehensive suite of IoT managed services and plan to add to our early start with analytics capabilities which will create even greater opportunities for growth. The vast majority of our team is organized into these horizontal capability areas. We have historically applied a regional go-to-market approach with our sales teams organized by the broad geographic regions Americas, Europe and Asia Pacific. As we have expanded our portfolio of products and services, we are increasingly going to market in focused industry verticals, which allows us to get closer to our customers, better understand their pain points and IoT requirements. Last year, we launched Connected Health and Fleet, the first two of our five target industry verticals. Why these five verticals? Because these five industry sectors account for over 80% of IoT spend today. And the successes we have seen thus far, particularly with the BMP acquisition, tell us our vertical go-to-market strategy is working. This leads us to the overview of our fleet business. Fleet is a broad term that we use to describe objects that move people, cargo or materials from one place to another, such as autos, buses, trailers, trucks and construction equipment, as well as other transport methods including rail and ships. As our business stands today, it is vehicle-centric and includes the telematics, video analytics and usage-based insurance segments. All three of these segments are large and growing and we are seeing continued adoption of more IoT-centric technology with multiple devices connected to the vehicle. McKinsey estimates the value pool for fleet management will grow to $750 billion by 2030. A significant portion of this expected growth is due to video analytics, which is forecast to grow at a CAGR of 17% over the next three years. Similarly, the usage-based insurance market surpassed $30 billion in 2020 and is projected to grow at a 20% CAGR through 2027. This growth in usage-based insurance is being driven by use cases targeting lower insurance premiums, driver safety, stolen vehicle recovery and government regulations. Fleet management continues to lead the way in IoT market growth, with around 15% of vehicles now having telematics pre-installed and they are estimated to be about 100 million telematics units in operation around the world. Technology adoption in the fleet management industry over the last several years has rapidly accelerated due to the speed and availability of networks, complemented by the capability of IoT devices. The industry was kick-started by the adoption of GPS devices in commercial vehicles, allowing for the birth of location-based services applications. At this point the industry was primarily focused on information about the vehicle itself, location, status and vehicle health. Next, with the growth of low power networks and associated sensors, the industry moved the focus to information about the cargo. What is the vehicle carrying? What is the status of that cargo? How much of it is there? How hot or cold is it? When did it get loaded and where is it now? Today organizations are acutely focused on safety, specifically around keeping drivers safe and reducing crashes. This has led to our customers leveraging video telematics, with a specific focus on driver behavior, driver coaching and data collected by IoT devices to reduce fraud and false insurance claims. All of this adds up to significant cost reductions and operational efficiencies. The data that we can now collect associated with these three aspects of fleet can be combined to support many use cases and KORE through the management of connectivity hardware and SaaS solutions is at the intersection of this technology and these industry use cases. KORE's mission is to reduce the complexities of IoT to make IoT easy, easy to deploy, easy to manage, easy to scale and easy to buy. KORE makes IoT easy by providing bundled solutions that package us about everything an organization would need to deploy to address their fleet management use cases. Tracking solutions that combine hardware connectivity, software and managed services advanced video analytics solutions that combine hardware connectivity, AI and machine learning, cargo management solutions that track and provide environmental data for containers, trailers and pallets all the way down to a single item within a vast and often complex supply chain. Compared to our competition who are mostly focused on a one-size-fits-all approach, KORE provides our customers with the option of integrating different products from multiple OEMs, creating bundles that address specific industry needs without the fear of vendor lock-in. These bundled solutions and others that are shown here, plus many that are not, leverage KORE's expertise to help fleet organizations tackle a variety of use cases. And as IoT adoption accelerates, so too will demand for our bundled solutions for fleet. To emphasize the importance of video analytics and the role it plays in driver safety, let me give you a real-life example of one of our customers leveraging our technology to help save the most valuable cargo in a truck, the driver. A fleet customer had an incident where one of their drivers was kidnapped while driving in Mexico. The technology that they had in his car alerted emergency services leveraging artificial intelligence and in-cabin video. This allowed law enforcement to track the driver and return him safely, the same day. So how does all of this translate into revenue for KORE? Today, the fleet vertical accounts for approximately $50 million in annual revenue. This revenue is a consistent and resilient recurring revenue stream driven primarily by a strong and broad base of customers. In our go public five-year forecast, we projected fleet revenue would grow to $75 million by 2025. However, our internal stretch target is to achieve $150 million in revenue in this same timeframe. We believe this is achievable by focusing on three areas. First, we're making ongoing investments in developing our partner ecosystem. In fact, we now integrate with over 400 partners that are unlocking data into our platform. Second, we have released over 130 features with multiple bundled solutions addressing the highest demand industry use cases. And our platform now supports as an example in the video analytics area, the top three OEMs in the industry. And third, we are investing in IoT managed services addressing specific fleet needs around deployment and fulfillment, which is right in line with our vision to reduce the complexity of IoT. In conclusion, I will say that we are very proud of the progress our fleet team has made and we believe the innovative approach outlined today will be a big contributor to KORE's growth. With that, I will now hand the call over to Paul to cover the financials in more detail. Paul?
Paul Holtz: Thanks, Romil, and good afternoon, everyone. Moving to Slide 12, we had another strong quarter as total revenue increased 16% to $70.4 million, compared to $60.7 million in the second quarter of 2021. As Romil mentioned earlier, since going public in Q3 2021, we have consistently communicated that revenue in the second half of 2022 would be lower than the revenue in the first half. The decline in revenue is attributable to the completion of the LTE transition project with our largest customer in the various carrier network sunsets in the United States concluding by the end of 2022. Despite the expected headwinds just mentioned in the new estimated $2.5 million to $3 million FX headwind that emerged in Q2 2022, we are maintaining our previously disclosed revenue and adjusted EBITDA guidance. Turning to our service lines. IoT connectivity continued to be resilient throughout Q2 despite the revenue pressures from FX, LTE pricing transitions and US carrier sunsets. These headwinds along with the new revenue from the BMP acquisition resulted in a 3% year-over-year increase in IoT connectivity revenue to $44.7 million. IoT solutions revenue year-over-year increased 47% to $25.7 million. The growth was primarily driven by new customers acquired as a result of the BMP acquisition, partially offset by FX and the expected decline from our largest customer due to the conclusion of their LTE transition project at the beginning of the second quarter. Please note, that even with the continued new revenue from BMP customers in Q3 and Q4 of this year, we do expect IoT solutions quarterly revenue to decline in both quarters on a year-over-year comparison basis. The decline is attributable to the significant LTE transition volumes with our largest customer in Q3 and Q4 of the prior year. Total gross margin was 52%, which was flat year-over-year. IoT connectivity gross margin increased six percentage points year-over-year to 65%, driven by the leverage from lower carrier costs on higher revenue and volumes. As expected, however, we experienced a decline in IoT solutions gross margin year-over-year, which was down six percentage points to 28%. The decline was primarily due to the increased mix of hardware revenue during the current quarter. Total connections at the end of the second quarter were 15.2 million, an increase of two million or 15% compared to the second quarter of 2021. Dollar-based net expansion rate or DBNER for the 12 months ended June 30, 2022 was 114% compared to 113% in the prior year. As expected DBNER was also down, when compared to the prior quarter, and is likely to decline over the next couple of quarters as the LTE transition revenue from our largest customer declined over the trailing 12-month period in the calculation. We do, however, continue to expect DBNER to be above 100% for the rest of 2022. Operating expenses in the second quarter were $43.2 million, increasing $7.8 million or 22% compared to the same period last year. Increased salary and benefit costs, higher stock-based compensation, higher travel expenses, operating expenses related to the BMP acquisition, and go public company costs, including insurance and professional service fees, all drove the increase in operating expenses year-over-year. Note that, approximately 45% of the increase in operating expenses year-over-year came from non-cash items like amortization and stock-based compensation. Net loss in the second quarter was $11.1 million compared to $6.9 million in the same period in the prior year. Adjusted EBITDA in the second quarter was $15.9 million, an increase of $1.2 million or 8% to the same period last year. Our adjusted EBITDA margin in the current quarter was 22.6%, compared to 24.1% in the same period in the prior year. Moving to cash flow. KORE generated $14.7 million from operations in the three months ended June 30, 2022. This compares to a use of cash of $2 million in the same period in the prior year. Q2 2022 was a strong quarter from cash flow from operations, due to increased collections, from our largest customer related to billings from their LTE transition project, positive cash flows from the BMP acquisition, and lower requirements for prepaid inventory. Cash and cash equivalents at the end of the second quarter, were $40.8 million compared to $86 million as of December 31st, 2021. This change was primarily related to the financing of the BMP and Simon acquisition. And with that, I'll pass it back to you Romil.
Romil Bahl: Thanks, Paul. As you heard, we had another strong quarter. KORE continues to grow our connected devices count and win new opportunities. In fact, our current sales pipeline includes over 1,500 opportunities and we expect our pipeline to continue to grow. Today, you heard us talk about our fleet vertical where we have opportunities for high-bandwidth applications for video monitoring and telematics, which carry very healthy ARPUs and also low bandwidth applications, which add hundreds of thousands of SIMs. These opportunities are not limited to fleet as IoT adoption increases, and we build out our other targeted verticals of industrial assets and communication services providers, our opportunity set increases exponentially. When KORE went public less than a year ago, we committed to generating $457 million of revenue in 2021 and 2022 combined. We expect to exceed that figure by over $50 million and continue to deliver on our commitment to all of our stakeholders. And we have achieved this despite a continuing pandemic, disruptions in our customers' supply chains, significant force churn from the 2G and 3G sunsets in the US, which finally comes to an end this year, a rising cost environment and now FX headwinds and uncertainty around the economy and broader geopolitical events, all of which demonstrate the quality and resilience of our business model. As you can see on our final slide, KORE has transformed from simply providing connectivity to offering a broad array of products and services that help deliver IoT and solutions. No one competitor can offer the breadth of products and services KORE is bringing to market today. And we are continuing to build out and expand our capabilities as we execute on our clear transformation plan. We will continue to invest in our IP and take leadership in 5G and AIoT just as we have done over the last few years in Ethan for example. In closing, KORE has just delivered the best quarter in the Company's history, and we continue to exceed expectations. I'm confident that, as we move past the second half headwinds of 2G, 3G sunsets and a tough comparison from our largest customer's LTE transition project, the stage is set for KORE to continue delivering on its strategic growth plan. I want to thank our global IoTers as we call them for their hard work, dedication and commitment to KORE. With that, let's start the Q&A. 
Operator: Thank you. And ladies and gentlemen, at this time, we will conduct our question-and-answer session. [Operator Instructions] Our first question comes from Lance Vitanza with Cowen. Please go ahead with your question.
Lance Vitanza: Hi, guys. Thanks…
Romil Bahl: Hey, Lance we're not hearing you. Hey, we lost you Lance. 
Operator: So it sounds like you have cut off a little bit. And we are going to go on to the next question. Go ahead Mr. Vitanza .
Lance Vitanza: All right. Can you hear me? 
Operator: Go ahead.
Romil Bahl: Yes.
Paul Holtz: Yeah.
Lance Vitanza: Yes. Great. So the -- revenue beat on the two-year -- could you break that down for us in terms of contributing factors? I mean how much of that is volume versus price better execution? Obviously, M&A played a role? And then I have a couple of follow-ups if the line holds out. 
Romil Bahl: Yes. So I think we, sort of, expected mid-high 20s from our acquisition, which is obviously done during the first quarter Lance. And look I mean they may even do better than that certainly given the red hot start they've had with us as they've taken advantage of some of the low-hanging fruit and sort of demand that the rest of KORE was able to generate and send in their direction, but also some pull forward from some of their large customers and some really significant orders. So I might even modify the contribution from them to be higher than that. And then the rest of it is largely execution. Right now -- organic execution. Right now a little bit harder I think to start to break it down on volume versus ARPU. I think it's a little bit of both. The number of connections in the face of obviously the sunsets this year has held up pretty well. But we're more acutely aware of some of the supply chain issues that we felt them in a little bit last year, but we're feeling it more this year certainly through the six-month mark. So, I guess, if I have to wait in one direction Lance I'd wait and a little bit more in the ARPU stability we've seen, but good execution by the team. 
Paul Holtz: Yes. And Lance the only thing I would add is when we modeled the sunsets we thought they would churn off on a regular basis throughout the months, but we are seeing a lot of those whether it was AT&T or now -- and we expect now for T-Mobile that a lot of the customers are just waiting right to the very end whereas we modeled it more conservatively that was over time. So we're getting a little…
Lance Vitanza: Okay. Let me turn to the fleet opportunity that you talked about. The first -- I guess is that the 100 million I think you said 100 million telematics units around the world. Could you repeat when is that -- is that now or in the future? And then more importantly, how well does the geographic distribution of those 100 million units how does that line up for KORE? Are you well-positioned to go after all of that, or should we be thinking about a smaller subset that really is attackable for you? 
Romil Bahl: Yes. So certainly those 100 million telematics units are out there today. And in fact almost 15% of them are pre-configured right? So they're rolling off assembly lines with the connectivity embedded and not just reliant on aftermarket type solutions. Look I mean outside of some of the very large Asia markets, right? China, India et cetera. I would say these are mostly accessible markets to us, right? I mean certainly North America, certainly Europe, Australia getting better -- in Latin America. So I wouldn't stretch it and say, it's all of it is accessible. But given our tiny market share today significant -- significant opportunity. 
Lance Vitanza: And then -- and then whether it's slide 9 or 10 or 11 those three slides I found very interesting. But could you point us to where you see the bigger versus smaller contributors to this $75 million to $150 million of incremental revenue whether you want to do that by the verticals or by the anchor accounts et cetera? Thanks.
Romil Bahl: Yes. Look I think we're -- I mean, I talked about the first three for a reason. Those are certainly the ones that we believe will be the three stronger horsemen if you will from our solution bundles. And if I had to pick one out of those three, I'd say that the very innovative work we're doing in the video telematics area which is red hot. We believe that has a lot of potential and it's a very differentiated strategy. We're not coming out there like some of these other players with one camera, one size fits all here's what you get and it's proprietary closed environment technology made by them kind of, sort of, solution, right? We're bringing -- the top three already are integrated and others will be integrated over time. So myriad choices of cameras based on different use cases that our customers can deploy. So I'd say the left three on page 10 Lance are my top three and certainly my personal favorite is video in the middle of those three. 
Lance Vitanza: That's really helpful guys. Thanks. And I apologize for the bad connection. I'm going to get back in queue.. 
Romil Bahl: No worries.
Paul Holtz: Thanks, Lance. 
Operator: Thank you. [Operator Instructions] Our next question comes from Walter Piecyk with Lightshed. Please state your question.
Walter Piecyk: Thanks. Can you start with just the M&A environment, given kind of what's going on in the market do you see any more greater willingness of some companies to sell off to you guys or is it the opposite where companies want to hold on, wait for things stabilize wait for rates go [ph] lower or stabilized in order to get a higher takeout price?
Romil Bahl: Yes. I think it's a little bit more of the latter Walt and you combine that with what some would say is a head-scratchingly hard to explain calculation, we're getting ourselves. So it's not like there's currency I can use in terms of our public stock it's a tough environment. 
Walter Piecyk: I mean you generate free cash flow it's just the willingness to lever up further to make smaller tuck-in acquisitions not part of the product your contemplation? 
Romil Bahl: Yes. No look, I mean certainly tuck-ins remain an important part of what we're contemplating. And it's going to be something we're going to look at doing -- putting our free cash flow to work on for sure right? The lever up part is harder to contemplate, Walt. I mean I've spoken to many public company investors now who even at 4x start to get nervous certainly at 5x start to get nervous. And if you were to add our convertible at $120 million type facility there, we're at a smidge over 6x right? So, we don't want to likely go in that direction and kind of make ourselves un-investable just loading up on leverage. So, I think one has to be cautious as we go through that.
Walter Piecyk: So, if you go to the original presentation for the SPAC obviously, you've significantly at least from what I can tell unless, [indiscernible] for it to outperform in '22, you have this kind of second half drop-off which you've talked about before despite kind of beating in the first and second quarter. It doesn't -- we still -- it's -- I guess the incremental thing is FX, but it's not enabled you to kind of push that guidance up further again higher than what the original plan was.  If we just go out to '23 though and you think about the kind of the incremental things that you face over the next couple of quarters how are you feeling about the 2023 growth either in the context of the original presentation or some of the headwinds that are going to bring -- is going to deliver the second half which is going to be lower than the first half performance that you've had to get to the guidance? 
Romil Bahl: Yes. No look I understand the spirit of the question and I have a number in my head. I think it was 2.76 or something. But let me -- Paul's going to pull it up here in a minute and we'll figure out what we said in the model. I would just tell you that... 
Walter Piecyk: It was exactly 226 [ph] Page 31 of the April -- of the April stock event. 
Romil Bahl: Perfect. Yes. Perfect. So the -- so the -- so I would tell you that we're very confident against that right? I mean -- and again I'm not taking full credit for that organically because that's obviously the one -- the one inorganic thing we did. But yes, we're certainly very confident to get to that.  Now the way the trajectory will -- I mean so let's just talk through the factors that are driving H2 down from H1 and yes FX is in our frame right now which otherwise, we might have been tempted to flirt with that bringing the guidance up a smidge. So it's largely an IoT solutions story in terms of reduction in H2 over H1 just because there's this massive sort of upfront -- I don't like the term pull forward myself, but the one-time sort of large engagement the LTE transition project which is such a unique thing for us. It's not like we have many of these running through us, right? It's just this one thing and that's why we have spent time trying to explain it to the market. But that going away puts a dent on the second half. And actually, as the customer correctly so was conservative in asking for very high amounts of volume over the last three quarters or four quarters, there's a good chunk of what the business is usual part not just the one-time transition part that's in our opinion has been pulled forward a little bit. And so that's obviously going to then affect our H2, but it will come back next year, right? And then the question...
Walter Piecyk: Right. But even if you -- sorry to interrupt you. But even if you strip out that 11 million, I mean the growth rate obviously the implied growth rate is certainly very robust. So, if you can maintain that type of growth rate or even if it moderates into 2023 just the organic growth rate pulling out that to 11 million. It would seem like when we look at 2023, your organic growth rate should still be pretty good and certainly an acceleration over what's happening in 2022 as far as I can tell?
Romil Bahl: Yes. So look again the -- it's clouded by this one-time thing right? So Q1 and now Q2 are going to be these really high comp quarters, when we get to Q1 and Q2 next year and somebody will say, oh gosh why are you not growing? But to your point those that know us and understand the numbers understand that one-time transition, we'll see that there is progress.  And then on the connectivity side, I would just say we're actually excited, right? Because we started the year with close to one million 2G, 3G SIMs, we're going to end the year with close to zero or if they do hang along it will be for a few weeks next year kind of thing. But largely, largely, the holes that we have to fill every year before we could grow will go away. Now we still have some next year, right? That million SIMs of revenue at an average buck of ARPU, that was $1 million in January, right? And so, that's not really 12 million over the year, right, because it's obviously a number that's going down. So, call it 8 million or 10 million. There's a 8 million or 10 million holes we fill next year and then we're off to the races, because now I've got no holes going, all our non-core customers are out, all our 2G 3G SIMS are out, ARPU is showing stabilization. So, we're far more bullish about IoT connectivity growth going forward than we have been in these last three years four year. And yes, to your point, as solutions -- solutions will baseline out in the fourth quarter and then start to grow back up again. And I think we continue to outperform what we said we would in our five-year model.
Walter Piecyk: Got it. And then just one last one. Just on the IoT solutions, when I look at that type of -- again, growth rate which to me again, yes, the first half of the year is tough comp, but if you're putting up -- if you're continuing this type of growth rate then it's still going to look -- I mean, I would think that it still have to grow just in IoT solutions. Can you talk about like some of the IoT solution customers that are out there? I mean, I looked at Iridium -- like Iridium's business IoT seems to be doing extremely well. Can you talk about some of the new business that you're signing up there to give us some sense on kind of where that growth is going to come from and or -- where that revenue is going to come from in 2023 as you add more recurring revenue in here?
Romil Bahl: Yes. So, there's early signs of success. Certainly, in our two key verticals that again, as you know, we launched early last year. And so we're now sort of 18 months of maturity into building out these pre-configured solutions or bundled solutions, and so there's dozens of customer opportunities in the funnel now. We obviously would feel more confident once we see real dollars starting to flow against these pre-configured solutions and so forth. But we remain confident excited about, both the revenue opportunity but also the gross margin uplift opportunity from getting more pre-configured solutions out there in connected health and fleet specifically, but then also some of our cross-industry solutions like failover, leveraging fixed wireless access that sort of thing. So, that's where the solutions growth is going to come from for the next few years really, Walt.
Walter Piecyk: Got it. Thank you. Appreciate it.
Romil Bahl: Thank you.
Operator: Our next question comes from Mike Latimore with Northland Capital. Please go ahead.
Romil Bahl: Hey, Mike.
Unidentified Analyst: Hi. This is Aditya.
Romil Bahl: Yes.
Unidentified Analyst: It's Aditya on behalf of Mike here. Yes. So, could you tell me how much of the fleet vertical contribute as a percentage of revenue? Is it like over 10 percentage of revenue?
Romil Bahl: Yes. So Aditya, we said, it's about $50 million, right? So on a base of whatever end of our guidance you want to take or midpoint of our guidance you want to take, it's obviously not 20%m, right? So, it's a little bit less than that call it 17-ish, 18-ish, depending on where the year ends up.
Unidentified Analyst: All right. And could you give some color on if the inflation recession or the higher gas prices doesn't have any impact on the fleet vertical?
Romil Bahl: It's interesting. I guess the knee-jerk reaction is, oh my god, there's higher gas prices, so trucks are going to stop rolling or something. But it's obviously not -- that's obviously not really going to happen, right? Products and goods still have to flow and furious to get into our supermarkets and on and on and on. So, in an interesting kind of way, we have actually seen an uptick in our fuel optimization fuel management kinds of solution areas, those fleet customers that have not yet implemented, those solutions are much more seriously kicking the tyres, at least if not spending dollars or launching RFPs in those areas. So, I would largely say, I mean look, I mean recession proof is a big word and you don't want to use those words lightly. But we've proven right that we're pretty darn good at enabling solutions that help both the profit side of a customer and the revenue side of a customer. And in some cases, it's both, because these are solution providers who are reliant on our connectivity and on our solutions to be in business themselves, right? So it's a pretty sort of mission-critical and sort of a resilient business model.
Unidentified Analyst: Got it. And lastly, you spoke about the revenue being a little lower in the second half. Could you also give some color on the gross margins? Could we expect the gross margins to be stable or increased a bit in the second half?
Romil Bahl: I'll let Paul take that…
Paul Holtz: Yes. I'll take that one. So, we -- as you look at, we had a really good quarter for gross margins on connectivity around the 65% mark. We don't expect much change from there. Hopefully, we can continue to optimize and even make it better. But -- so, we'll say, those will stay pretty stable. On the IT solutions side, again, each quarter is different depending on the amount of hardware in there but we do expect those to also go up. So we hit the bottom in Q4, with a bunch of hardware there but we've seen two quarters now in a row that it inched up a couple of points and we expect that to continue into Q3 and Q4.
Unidentified Analyst: All right. Thanks, thank you.
Romil Bahl: Thanks, Aditya
Operator: Our next question comes from Meta Marshall with Morgan Stanley. Please go ahead.
Meta Marshall: Great. Thanks. Maybe you could help us on the total number of connections or period-end connections, clearly those stepped up pretty meaningfully year-over-year yet stepped down quarter-on-quarter. I know some of that is from kind of sunsetting of the 2G, 3G networks. But if you could just kind of help us determine what the headwind from that was to overall connections? And then maybe second question it sounds as if kind of the Simon BMP businesses are doing quite well. Has there been any chance for cross-sell yet, or just kind of when do you expect that there could be kind of more cross-sell across the customers? Thanks.
Romil Bahl: Thanks Meta. Maybe Paul should take the connection question first.
Paul Holtz: Yes. I'll take that. 
Romil Bahl: ...the connections question – the connections one. So yes you're right when you're looking at year-over-year the 2 million increase that's our typical growth. We expected Q1 to be more of the down quarter when AT&T sunset was originally supposed to happen and it got pushed to couple of quarters or so. So we saw more of that happen in Q2. So we said at the end of Q4 we had about 1 million devices left on 2G, 3G that we would lose or would transfer to LTE throughout this year. We saw more of that happen in Q2. So we're ending Q2 at around 0.5 million. So there's about 0.5 million left for the rest of the year. But that – it was more rounding. We were pretty much flat quarter-over-quarter. We had growth but it was offset by the additional AT&T devices that went fully.
Paul Holtz: Yes. Get to the question Meta before we go to the other one. 
Meta Marshall: Yes. That works. Thank you. 
Paul Holtz: Excellent. So yes, look, as I was saying there was some – I hate to call it low hanging fruit because that makes it sound easy or something but I think our team – we had customers that needed that kind of low-touch BMP solution. So we've been able to funnel – I mean part of their outperformance obviously is being part of KORE, I guess is what I will say. But also they've done just fantastic work. And so we certainly are continuing to look very closely, as the integration continues to go well at customers that we can move from our KORE kind of Rochester operation that is a more complex and built for larger volume, built for high regulatory environments like Connected Health and move the lighter touch things to Westbury and the operation there and certainly bullish that the low-touch solutions will continue to help our cross-sell efforts in general.
Meta Marshall: Thanks so much.
Paul Holtz: Thanks, Meta.
Operator: Our next question comes from Scott Searle with Roth Capital. Please state your caption.
Scott Searle: Good afternoon. Thanks for taking the question. I got on the call late, so I apologize if some of this is redundant. But to just follow up on the legacy subscriber question it sounds like there's still about 0.5 million left. Will that go to zero then by the end of the year? Does that still kind of hang around for a little bit longer than expected just kind of given the end of life cycle here? And Paul from a normalized OpEx standpoint it looked a little higher this quarter. I know there were some one-time charges in that. If we net out and adjust for that is that the normalized number going forward, or is there still some more adjustments as we should expect in the third quarter? 
Romil Bahl: All right. So I'll go first. And the first thing I'll say is I thought you loved us best so I can't believe you were on some other calls locked in and late for our Scott. Okay.
Scott Searle: But my apologies, Romil. I'll make it up here.
Romil Bahl: So yes, so I think largely the answer is yes. The 0.5 million 2G, 3G to your question largely it goes to zero. Now again if there are a couple of weeks or day or something if the sunset takes a little bit longer than just one day that it that may scribble some amount into January. But the way we're looking at it is it's gone at the end of the year. And as I was saying just a little while ago, the only sort of headwind left going into next year is what these million SIMs represented in terms of revenue this year, right? And once we're done with that then we're sort of off to the races. And again if ARPU continues to do what it's doing and supply chain opens up supply chain has actually been more disappointing on the volume front for us this year than we thought it would be six months ago. If customers get back to deploying we get back to anywhere near, a 20% volume growth and a stable ARPU environment. I think certainly in 2024 you'll see very exciting growth and hopefully, we'll start proving it next year itself. 
Paul Holtz: Yes. The other thing I'd add to that Scott like Romil is right we model it to go to zero. But again we're working these guys trying to win them back and hopefully can convert them and make them stay. And like Romil said, some of them may trickle on into Q1, again depending if there's any delays in T-Mobile or Verizon sunsets at the end of the year. But right now yes, we've modeled it that they would get to zero by the end of the year. 
Scott Searle: Hey, Romil, just to follow up on the supply chain issue. Did you talk about a number in terms of what was left on the opportunity you can shift this quarter in terms of the immediate demand pipeline that's just targeting cells or modules. What's that number look like? 
Romil Bahl: Yes. No. So that's not – certainly I haven't addressed that. Let me maybe try a slightly different tack right. So, one of the strengths of our business is the stickiness of our customers, of course, to our platform and the fact that existing customers on average, certainly the larger customers that matter have been growing on average about 20% a year these last few years, right. Coming into this year, we felt the downdraft on that set of demand signals into us. And we signaled -- I forget exactly when it was. I think it was after the -- on the fourth quarter call, when we were giving guidance, we signaled that we were thinking volume growth would be more like half of what we've normally seen. And we said, hey, roughly half of that is the million SIMs that being kind of forced churn out, and the other half of that impact was supply chain. I would just say that rather than seeing that 10% type expected half of normal 20% volume growth, we may even come a few percentage points short of that. Obviously, we're going to try to sales teams hammering away, and we're going to try to ship more and activate more and so forth. But if our customers cannot get their devices because their orders are getting delayed six months, 12 months, we've heard horror stories in certain parts of the module and device supply chain, they don't need our SIMs, and we don't get our devices going, right. So that's what we're seeing.
Paul Holtz : And sorry, Scott -- sorry, Scott can you then repeat your last -- the other -- the last question? 
Scott Searle: Was on the OpEx front, Paul just in terms of is -- if we adjust out the one-time charges for the acquisition and otherwise, is that the normalized number? Are you guys still tightening things up a little bit more on that front?
Paul Holtz : No. So this quarter it depends which adjustment you're talking about like we would have adjusted out one-time stuff related to the acquisition in the prior quarter. But this quarter the BMP expenses are the regular ongoing expenses. And they had higher than usual, because of the revenue they brought on this quarter part of their OpEx is the channel commission side of things. So it's obviously the higher revenue. They sell to more commissions. So that will fluctuate depending on how well or how much revenue they sell in that particular quarter, but other than that the -- from a one-time perspective in OpEx, there wasn't anything more significant other than ongoing increased cost from headcount travel has picked up now that COVID is kind of behind us, we're traveling more and stuff like that so.
Scott Searle: Got you. And if I could on the ARPU front and kind of back of the napkin kind of math, it looks like the ARPUs have stabilized over the past couple of quarters here part of that's legacy rolling out, but you also have some larger opportunities with more video content, more traffic that's attached to that. So, is this the bottom? Should we be expecting ARPUs now to start to slowly move in the other direction, Romil, or is it little early to make that call? 
Romil Bahl: From your lips to God's ears maybe. Look, I sure hope so, right. I'm a great believer in the notion that tech costs always head in one direction. which is down and Moore's Law and this and that. And so I am not sitting here pretending that on a per megabyte basis costs aren't going to go down, right. It is to your point the higher bandwidth consumption, right, the more use of video. And this is all largely pre-5G, right, As 5G actually matures for IoT over the next couple of years, the bandwidth usage is only going to go in one direction. So look I will just continue to say for now too early to make any predictions, but we feel good about our predictions on stabilization so far coming through and the next four quarters, six quarters will be very interesting. Yes.
Paul Holtz : And we continue to see many high-bandwidth opportunities like [indiscernible]. It's a big change from 12 months ago or 18 months ago the number of opportunities, we are seeing in that area. 
Scott Searle: Got you. And lastly if I could from a high level and maybe on that last point Paul, it was like the opportunity pipeline. Is there a way to quantify it? Have you talked about any numbers in terms of the number of connections that are in there? And then I guess kind of putting that together with the backdrop of the supply chain on the margin it seems like things are improving while there are still horror stories out there. Are we getting to an environment where you think in 2020, we're starting to get back to I'll call it that "normalized" 20% connection growth. Is that what we should be thinking about at some point in 2023? And how big is that pipeline? Thanks guys.
Romil Bahl: Yes. So on the opportunities front, Scott, I just -- I think we need a couple of more maybe even a couple more years certainly a few more quarters of maturity on selling these more pre-configured solutions, bundled solutions types of engagements to customers in this industry go-to-market model that really only five quarters six quarters old for us. Before there's meaningful numbers, I can throw out there on TCV that have meaningful than year-over-year types of comparisons, right? It's too early otherwise I feel like and it's just -- it will throw off data points and noise that isn't worth it. So we really are resisting to put out TCV, kinds of, metrics. Maybe we'll start next year. Well certainly it's on our mind. We understand you guys would like to see more in the way of momentum and so forth. And we should -- we work -- we should work towards providing that transparency and we will. But, yeah, we feel really good about the number of opportunities and in general, the TCV of those opportunities being on an uptick is what I'll say in general. On supply chain, I wish I was as optimistic about 2023 being back to normal. I mean, I'm not seeing it. But again the way we think and the way we behave and the way we act and we're out with customers is it sort of doesn't matter, right? We aspire to being a company that can grow 15% to 20% volume every year. And that's the company we want to be and we're going to -- that's the attitude I want my team to have is breakthrough walls and find a way to get it done for your customers.
Scott Searle: Great. Thanks so much.
Romil Bahl: Thank you, Scott.
Operator: Our next question comes from Matt Niknam with Deutsche Bank. Please go ahead.
Matt Niknam: Hey guys, thank you for taking the question. Maybe take a step back more of a macro question and maybe beyond the question around fleet that was brought up before. But more broadly, what's the latest you're hearing from your customers, just in terms of their approach to a seemingly slowing macro backdrop any changes you're seeing in terms of tone or pullback in their plans? And then I have one follow-up.
Romil Bahl: Yeah. Hey Matt and thanks for the question. Really, again, not hearing a lot of knee jerking or changes in planned projects and approaches. I mean, that doesn't mean there isn't one or two here and there with a company that might have some specific circumstances surrounding them that of course there's always going to be that. But the fact that there are so few of those exception proves the rule that most seem to be wanting to proceed in some cases, where it's cost efficiency drivers with IoT there's actually an acceleration that one feels. And so the larger constraint seems to be supply chain. And so we remain relatively business as usual in that sense, relatively bullish on our own in terms of how we're thinking about our investments, et cetera. We're not really massively changing. And I look at something next two quarters three quarters four quarters or something macro China, Taiwan who knows what, we'll have a different conversation. But today, we're not really feeling significant changes from the macro.
Matt Niknam: Got it, got it. And then the follow-up more maybe for Paul. In your adjusted EBITDA calc, so I know you guys typically will adjust that transformation expenses and then acquisition and integration related restructuring costs as well. I was just wondering, acquisition and M&A may be aside because those are tied to specific deals but transformation expense typically has been $7 million to $9 million in the last two years and you're already at about $4 million year-to-date. Any color in terms of what inning you're in, in terms of these initiatives? How long we could anticipate these costs occurring over the next couple of quarters? Thanks.
Paul Holtz: Yeah. So I would say we're getting into the later innings of this ballgame. So we do expect these to start to level out or even start to decline. And then into next year would be -- likely last year you'll see these. I don't want to say, which quarter that will be. It could be trailing till the end of the year. But for the most part you can expect 2023, we like to be done in this ballgame.
Matt Niknam: Okay, great. Thank you.
Romil Bahl: Thanks Matt.
Operator: Thank you. There are no further questions at this time. I'll hand the floor back to Romil Bahl for closing remarks.
Romil Bahl: All right. Thank you very much. We appreciate your interest in our investor call, our earnings call here. We will speak to you on the next one. Thank you very much. Bye-bye.
Paul Holtz: Thank you.
Operator: Thank you. This concludes today's call. All parties may disconnect. Have a great day.